Daniel Pretorius: Good morning, everyone. Before we officially start our results presentation, I'd just and briefly note that couple of rules for this webinar, everyone will be in listen-only mode for the remainder of the presentation. Everyone will remain muted and just to note that these hand-outs stack with all the hand-outs that you can download and access and please on the question stack feel free to type your questions at any time during the presentation and we'll and answer as many of those questions at the end of the presentation. Yeah so please signal in as you know where the coffee is, your own emergency exit, then obviously washroom [ph] facilities if required, but on that note, I am going to hand it to you and ask to take us through start of the presentation. Thanks.
Unidentified Company Representative: Thanks Dan. Good morning, everybody. Thank you for joining us, I m Hugh Julius [ph]. I'll be presenting with my colleagues, Riaan Davel, our CFO and Jaco Schoeman and at the end also be taking any questions that you may have. Thank you for joining us for the release of our results for 2021 financial year, a remarkable year it's been. Before we start, just wanted to share with you again our disclaimer. This is -- presentation will be containing a number for forward-looking statements. So just reach for the necessary caution and you might remember that last year we went with people, planet [ph] and profit. This year we go with mine and unsustain. So I think nicely into the ESG theme that has become very prominent. All right. So just some of our key features for the year. It's been an exceptional year mostly as a consequence of particularly the first six months of the financial year through to December at the time coal price was still really high I think north of, and in the region of about a R1 million million Rand a kilo, which called mining the universe is just, it's the sort of thing that you never dreamt you would actually witness. But we were very well positioned to take full advantage. Our first production was really good and we had our costs under control, managed to keep our staff safe. They've made their contribution in terms of keeping themselves safe in terms of COVID protocols et cetera, et cetera. So what all this translated and what we have on this slide for you in terms of the highlights for the revenue up 26% to north of R5.2 billion. Operating profit was up nicely 39% to about R2.1 billion, production, just shy of 5.75 of a ton or tons rather. 6% rise in production and this was from both sides. We saw exceptional volume throughput from both of our circuits and also some really good plant performance indicators as well and our teams really managed to keep the plants stable and operating well was translated and all sustaining cost margin of just under 32%. Gold price was, as I said, pretty good to us in the financial year. We saw 19% increase in average gold price received in the previous year, north of R900,000 a kilo. Headline earnings 127% increase on the back of both performance and the high gold price and then of course here we go. I'm just going to try and see if I can get there we go, much better screen. And this enabled us to, well, the 14th year in a row. Dividend final dividend will be R0.40 which takes a dividend for the year to R0.80 cents and Riaan will elaborate more on what percentage that was and what yield it is and how we compare to the rest. But this has always been for us as a company, very important indicator of where we are. We're making money and some of their finding its way to our shareholders. Happy to say that for 14 years in a row, we've been able to do that. I had a lot of texts, as you might imagine with the sort of profits that we managed to generate. So R452 million went into income tax. And then also employee's tax pays you earn R223. So revenue services and shareholders in terms of funds distributed more or less on an equal footing for the north of R600 million in perspective, both. Now with women's month, still sub prior to report on some of the numbers that we've managed to achieve. In this regard, we have 23% women and our total staff, which is about double what the average in the mining industry. 38% of the members of our board are female and we're very thankful firstly, and also really proud of the woman in our staff contingent personnel and staff. And we set ourselves the target of not only supporting their success and celebrating their success, but creating an inclusive environment where all staff members are both physically and psychologically safe or emotionally safe. They really want to make sure that there are nothing inhibiting performance of woman in our environment, in our company and nothing in the way of reaching their full potential, making the contribution that they do. So focusing our company on social economic development's always been key. Sustainable development for many years now has been an important theme in our strategic focus and this year was no different, 50% increase on socioeconomic spend. It's not -- it doesn't come as a surprise. South Africa is in dire straits, like many parts of the world as a consequence of COVID and the lockdowns and the impact that that's had on the economy. We operate mostly in areas where a lot of the communities around us are third day communities, where they have a per day economy where somebody is a guard or is a gardener or they do recycling of sorts. And then when these lockdowns, that per day economy suffered very, very significantly, a lot of people didn't have the ability to go work. And when they did, the opportunity was simply just lost because the people that they used to do this for just no longer around, they're no longer able to offer that kind of employment. So in that sort of situation, so those conditions, it's not surprising that there would be an increasing socioeconomic spend. Of course our focus does remain sustainable development, sustainable communities, but just an extraordinary year. So there was a bigger element and 11 wrecks on that thing we get to the ESG. And then of course company, our operations, it's a gold producer in the middle of a city. It didn't go to the city. The city came to the mine, but they're not standing. In fact there are lots of people living around our operations and we don't want them to suffer discomfort or heal health as a consequence without our presence. So we do a lot to suppress dust and we closely monitor what the impact is of dust. We might go through the environmental numbers later on, I'll elaborate on this, but in terms of all of the measurements and there's several hundred every year that are taken from just under 90 different sites across our entire belt, might be a little bit more. Jaco could elaborate on that if necessary but, the exceedances were limited. I think we've broken the back on dust mission. It's a case of just tying it up towards the natural end of this program. I'll spend a bit of time on our operational trends for the year and just show what the story is that these trends are -- what the story is that the trends are telling us and what we can expect going forward. We've broken it up into two segments, and then there's also a consolidated one. So firstly, just looking at Ergo, you could see that volume throughput for the financial year. It's actually been really good both off years we've managed to go through 11 million tons. So I was off this year, outperforming our best half from the previous year. Of course the 9.3 million tons in the second half of financial year '20 that's, obviously COVID related, but recovered nicely from that. And you could see that volume throughput was most definitely one of the star performers. The yield starting to go down ever so slightly. Once again, just to interpret the slide, the second half of 2020 that's when we were focusing mostly on the high volume sites, there wasn't much happening in the form of tracking of high grade material, cleanup material and last phase material. So slightly lower yield. And then you could see the difference it's now starting to set in and that gives you a good peak into the future in terms of where we are relative to track and recoveries. So we've been reporting in the past and telling our story that Ergo is going to start going into a high volume, lower grade scenario and the not too distant future and it's basically made that step change now with the high grade circuit of nights, having been phased out in this financial year. So, the yields, as you could see, coming out of Ergo are just under 0.02 lower than what they were in the past. So you're looking at about 15 to 18 parts per billion level yields, and that's all attributable to head grade. I'll elaborate a little bit more later on, on what we're doing about this. How are we setting ourselves up for, even at these levels to be sustainable and profitable and still offer the good returns in the way that we just moving around our costs and setting up the business and configuring our lab, particularly the number of sites, et cetera, etcetera. So I'll talk a little bit more about that towards the end, but this is where it's sort of settling in, in terms of a trading yield going forward. Production, just over two times for the first half and just under two tons for the second half. And I must say the first six months of this year has been like no other period that, that I've ever experienced in our company in the, since 2003, that I've been involved with DRD. It's just been one of those once in a lifetime periods where not only was the gold price at record highs, but the gold just came out. It was everywhere. Our circuits performed so well, and a lot of that admittedly relating to sort of late stage clean-up, final stages of, floors being lifted, etcetera, etcetera, and that is also in the final phase of its high grade resource of 46 days. So exceptional half year that sit-ups up really well for the future and enabling us to do the stuff that we want to do to take the business forward. Always gold operating trends, no surprises there always gold is consistently hitting the volume mark. These are very straight lines in terms of volume throughput. In terms of yield, you also see the slight dip in the second half of last year and there's actually, the scale here is probably more pronounced than what the real difference is, but this is a circuit that that's taking full advantage of the high-grade resource achieving very, very good yields and improving as we go along, some of the initiatives that I will talk more about later on. It's a very, very good second half with just three quarters of a ton of gold production contributing to the total number for the year. If you combine the two on creep operating things, exceptional value throughput and yield pattern that, as I said earlier about that 15 parts per billion on average, lower than what we saw earlier from the previous quarter and a focus as to how, how to shrink that through better recovery efficiencies going forward, but a good indication of more or less where we landed following the phasing out until the conclusion of, of some of the high grade sites at ergo and move towards more of a slime high volume throughput, then cutting production for the agency, just under three tons and two, three quarters of a ton of gold that have a ton of gold production for the second hole. So with that said reflect a little bit more on this towards the end would be the summing up and the looking forward. But I'll hand over first now for the time being to Riaan to take you through the, the financial review for the year. Thank you.
Riaan Davel: Yeah, it's as always is my privilege to take you through our results for the year ended 30 June, 2021, and you're over 126 year old company. As Neil said differently, one of the, of the best periods that we've seen in a, in a very long, in a very long while. And it's usually also personally rewarding and I think these are really wonderful, wonderful results as Neil has done just starting with the ergo financial results and sort of broken up into off years and that the theme that Neil mentioned around the two halves very much true also for the for the financial results for example, ergo off year on off yet down 26% on RayBan, you're obviously impacted by the red bull price that was 14% lower in the second six months versus the first six months of the 2021 financial year. However, overall, as Neil mentioned, the gold price increased 19% year on year, just under 918,000 grams per kilogram. Still up revenue 29% year on year for Ergo, obviously the volumes impacted for COVID in the last quarter of the previous financial year. But we're very proud of and continue to manage very carefully. It's the bit under our control. We see eight grade isn't yield. We, obviously like to and we do manage to keep the plot stable, but it's really the cost of rent with time. And you can see that cost for ergo up 17% year on year, but also the volume is up 30%. So really managed to maintain our ramp, which will continue, continue to be a huge focus for our business. And then the operating profit year on year up a massive 57% increase. And again, Ergo again, shows its resilience wonderful volumes that it has. And almost circumstances that we did sometimes amazes us with load shading many, many challenges also in July of the year end that we've experienced a supply challenges. So a wonderful, wonderful performance for ergo overall financial results. As, as you all know much simpler operations at the one side are great different days, five that'd be mining that also period on period day were down by 13%, very much responding to the 14% revenue decrease between the two periods, but year-on-year, a very answer 18% increase responding to the increase in the gold price that operating costs year on year increase of 15% very much because the milling costs came into effect for the first full year this year. But good impact on, on yield as, as newly alluded to and looking at operating profits, a very solid increase of three seats year on year. And again, just to note always for, for waste establishing when you just look at it as, as an operation, as a standalone operating for the year ended 30 June, 2021. And again, operating costs of just over 276,300 kilogram or in dollar terms at 558 years dollars plants, which is remarkable. Obviously we know the reason we were targeting in the phase one for, for ways the actual high-grade resource day. And obviously we building that towards the, the next phase of that operation, the group financial plates operating margin gain showed a slight decrease in the in the second six months still, it's still a very healthy operating margin, obviously impacted by the lower ranked gold price in that in that period. But a good increase year on year. The all-in sustaining cost margin obviously both on the operating margin and what's good to note there. Yes, also a decrease in the second six months of the year, but what we've seen from our point of view is a 16% increase. Second, six months, it was the first six months in sustaining capital speed and year on year, an increase of a 100% in sustaining cap. Explain that price is very positive because we continuously investing in our business, making sure it's as efficient as it can be delivered to deliver the best possible results for the whole body. That that'd be all we actually mining. So still very encouraging all-in sustaining cost free cashflow, absolutely wonderful numbers to look at overall for the year at 22% increase year on year to over R1.1 billion generated in free cash flow. As Neil said that we reminds our key focus to make sure that the business generates cash. So we could be able to continue to pay by dividends as we've done for the last 14 years, and then eight line in a game that R0.111 for the first six months of the financial year, just I lied that absolutely magical period that you referred to as well. How I got price high bulk production and was really a wonderful period for us, but overall headline earnings R168.40 for the year. And that's up 104% a year on year, which is a wonderful achievement. All of that background through the operating trains and financial chains, we'll put our primary financial statements into context revenue up 26% year on year as a result of the gold price increasing by 19% to just under 918,000 ramp kilogram and gold salt increasing year on year by 5% to 5,734 kilograms that cost of sales line that you see the up 15% year on year, but it responded to an 11% increase in volumes year on year, and then also a 6% red, but time increase as I've emphasized a really important measure for us is to keep our costs in tech and the ramp up time because of the number of times that the process a really important measure, but be very happy to report that we'll continue to focus to keep our costs in check because that is the one aspect that we have control over then I'm just going to administration expenses, just noting the anomaly around novelty around share by spine and expense. We'll, look at our share price a bit later on as well. That was the last 50% of the five year cash stapled share by scheme that obviously responded to the massive increase in our share price to two 30 June last year and subsequent to that period, but came back just before the settlement of that law staunch. And that's why you see partly that reversal of the R28 million in the current financial year, that it was altered in results of operating activities of just over one point, I believe, rent finance income boosted this year by some dividends. So the plea form from grant refinery of R72 million and finance income, and then the finance expense, they mostly relating to the unwinding of our rehabilitation obligation. So not a big cash portion day, which we'll see on the, on the cash flow statement. And then the income tax as new illiteracy obviously year on year increase in the overall [ph] shorts which applies this current and deferred tax of 52% year on year. And then that's a 1 43 now going nine. So we're just over R1.4 billion profit for the year. We do a quick calculation. That is there's a number of ways to do it, but you take that number over equity on our balance sheet. It gives a return on, on capital of just under 50% for the year, which is, which is quite an impressive number. And I believe relative to the mining industry, a very attractive return on capital, slightly more financial position or balance sheet yeah, rematch stability is the theme here for me as a property plant equipment, opposite effects the capital that we keep on investing less depreciation non-current investments and other assets mostly are readable. They should assets under various vehicles, but okay. So our refinery and the basements in that lie cash and cash equivalence, we'll elaborate on the, on the cash flow statement, but a positive increase year on year. But I'll allude on that a bit to that on the next slide. Other current assets, stable period on period, the equity number that I mentioned to calculate return on capital. Obviously the profit goes to these lists. There's any dividends that indicate a provision for environmental rehabilitation against state stable, though. There's always this unwinding of interests that are referred to but the difference for us is that we continue to sit too that liability as we continue to vegetate clean up old sites. So that number has actually come down. If you take out the impact of inflation or unwinding, which again, I'll lead to just on the cash flow statement as well, deferred tax liability. Yes. Right. You also mentioned that we will see that grow as, as our forecast around taxable profit becomes bigger as, as we generate more taxable profit for our business. And then the current liabilities, obviously that included this are related to last year short-term settlement of, of incentives. That was, that was stapled in the current year as the kind of pressure extremely Alfie five as it is presented, then on the statement of cash flows, again, just to delete the cash generated by operations of a 1.8 billion rented increase of 41% year on year. And that's always the sign of true, truly healthy business is the cash that its operations generate. They can see the interest and dividends that are related to cash. You just buy it, but pay much smaller, the cash portion of that. Then then on the income statement. And that's the number you eluded to as well, the 452 million current decks bite in, in cash did receive revenue and just a massive contribution. There was also mentioned for Azure that we've paid on behalf of, of employees. But yeah, we'll hopefully continue to make that that's contributions and continue to hope that that meant money as well. Speed in the, in the south African economy the acquisition of property, plant and equipment, again big increase just under R400 million cash spend year on year and that will continue to grow with alluded to guidance and will elaborate on that later on. Around R600 million in the next year that want to continue to invest in our business. And that for me again, is it's a very positive side that we continue to, to operate things and improve things under our control. So that will definitely continue. And then I suspect that R51 million is mostly writing to more than 108 days of visitation that we've done completed on our major tailings facilities, which is, which is very encouraging that we do take cash flow that we generate and vegetate as we operate. So, no, we do not wait for fully eight of our operation. And then the R641 million dividends, that's obviously last year's final dividend and the interim dividend. And you mentioned the 40 seats that the board has declared now Lexus to ITC relating to this financial year. And if you do a dividend yield calculation at 30 June of what our share price is that dividend yield is higher than, than five C, which is I believe a wonderful dividend in context, off of the mining industry and something that we were very proud of. And then y'all, we've all taken into account with all those flows. You sitting with cash in the bank of just under 2.2. No, I would just say a couple of things before I end back to new on the, on the shape prostate. He wants to elaborate slightly on it as well, but just, if you, if you look at that two year picture, they absolutely marvelous total shareholder return. If you just look at, sort of say my 2019, then over that period to give a word with alpha dividends that shareholders received illustrates your huge return to total shareholder return and both capital growth over that period plus dividends, which is which is very, very encouraging. Yeah, so maybe I can, at this point new hand back to you, if you want to maybe continue with some comments on the shape price and then the rest of the presentation.
Daniel Pretorius: Thank you. Yes. We decided to include the performance of the share price chart for a slightly longer period. I think the last two years in particular are relevant. See how the share price responded to various dynamics. Obviously there was the uncertainty last year associated with the COVID and some a lot of investors going back to gold as a safe Haven investment that the rest of the global economy becoming unstable and uncertain. I think we also saw a very significant supportive liquidity when, when one of the large index funds came back into the stock and the strong students to lie that might be provided some additional impetus. And then with the world sort of settling into a new rhythm and having taken stock and developing a different perspective on where the global economy is going to go and where investment money should be going, you could type it off quite a bit and follow the industry down to, to current levels. I have to admit that when the share price north of 20 read that you were wondering, how do we sustain this? So maybe just maybe the levels to which it's a return to or more relational in terms of production and an Arctic and potential performance they'll seem to also find itself slightly in in an indecisive period at the moment competitive indecision. What is comforting though is the fact that support as rebased, I think is the term that's used supports seems to have come in at a slightly higher level than what we saw in the past. There was the dumping of it was costly, $4 billion worth of coal a few weeks ago called the price down by a hundred dollars more in a single day, and then it bounced off $1,700. So yeah, it's interesting to see where support for gold actually comes in that as it may 850,000 and the killer and north gold still finds itself in a very interesting position. And it's certainly high enough to justify the Catholics that we're looking at spending and supportive of our operations going forward. I was saying to somebody earlier today that out of the last 10 years it's still better than maybe seven potentially even eight of the 10 years. So I should maybe be careful not to start looking at last year as, as the new standard is the new benchmark looking at some of the other performance indicators and some of the other issues that we be focusing on. I'm sure I'll get this to move anytime soon. Yeah, here we go. So he is G I'm very pleased that as a company, we decided to take sustainable development on board as a very important thinking to a guy, to, to how we thought about investing Catholics and this sort of value add that we wanted to offer be speaking. So when ESG finally became prominent as prominent as it ought to be in our view, I think we'd already developed a very good factual base to slot into this community development narrative of particularly environmental and social value. We referred to that as social capital and nature capital. So our story is one that I think has been developed over time. We very much approaching this on the basis of overlapping value add or integrated value add. And I think we are seeing that in the results coming through quite nicely. So moving on to the substance of the presentation, here we go. All right, now I want to talk just a little bit to the, the picture to the photo and the slide, but this is the, the crown tailings. And maybe to give a bit of perspective of what we mean when we say that sustainable development is positioned as very favorably for the emphasis on, on ESG and how that's impacting on just the investability of companies. So this picture crown tailings right next to sweater. And it's certainly one of the things that I think as a company, we are very proud of, of how this particular complex has improved from an environmental and social perspective over the last 10 odd years. And this is not coincidental. Lots of people live in close proximity to this facility. I think it was in 2007, but for the first time, the senior management of crown at the time presented a budget that specifically provided for vegetation was no longer just an operational expense. This was something that we wanted to bring in support, ongoing campaign. And we wanted to have this done over a period of time. I think I've targeted. I'd still remains 20, 20 sweet, but that first 16 million to two new budget items, so to speak, but one was less what vegetation of the crown tailings and the other one was a capital vote for the repair of pipes just kept on, on bursting. And now this thing's developed a mind of its own. So jumping on to the next slide, here we go. So two new items that featured on the budget for the first time coming out of the operations, there's vegetation since 2007 coming from the free state from Perez [ph], driving through that, a little bridge or a fly over that almost frames this dam, this particular site. As I said earlier, it's one of the things that gives me correctly to see that every time that I drive up towards them, or from, from the free state of just how this is beautifully framed and how the dust nuisance and the impact on the quality of life of the people in that area that has improved as a consequence of this vegetation. And it's a good program, it's a sustainable program. It takes about three years to settle, and then it's on. So involves munching and cladding and a very interesting cocktail of vegetation that takes it to this particular level. And this is happening and semi dry South Africa. So just looking at some of the numbers at the bottom there, 12% increase in externally sourced, potable water. This is a year on year number that is, perhaps emphasized somewhat in a slightly distorted way by the reduction in water consumption last year when we had the, the lower volume throughput. But there is nonetheless one additional dynamic that has added to this and that is that beginning less water from a sewage plant. So we put, we built a beautiful sewage plant few years ago that treatment plant for sewage water. And that thing finds its way into a central water circuit. We'll remember that we have a centralized water circuit where everything is distributed from 1.4 to stays in a closed circuit and this is one of the sources, unfortunately the throughput of this particular storage pond just decreased in, in the, in the recent past as a consequence of maybe not as much search, actually reaching the storage plot. And as a consequence, we're getting less water coming out of that, but it will remain an important focus area for us. These numbers look a lot better than what they look like 10 years ago when we started targeting a reduction in potable water, and we do still make use mostly of recycled water, but this year, the trend is in the opposite, or the number is in the opposite direction, but not so much a trend as an event. Comparatively speaking spoke about the Dustin in the background there, you could see the reason why this list test environmental spend is 105 million. We'll show you the comparative numbers on the next slide. All of 115 hectares of additional vegetation was established well. So almost a doubling of last year. I'll give some of that perspective too. And then 87.68 is submitted to the NNR and awaiting approval on the significance of this simply is that before land can be put to sustainable use, once it's been cleaned and clear as these are areas that they previously set under tailing stamps that have since been recycled before that land can be used, the NNR needs to give the green light, that it doesn't pose a radon or a radiation risk, and 87.6%, rather than 87.6 hectares of land it's now been. And this is in the context of a city. This is in Johannesburg. This is in Johannesburg. It's now being submitted to the NNR and we're waiting their approval. And obviously we only submit these, if we can demonstrate that the scientists being cleaned of radiation that it doesn't pose a risk can be used sustainably. Savings Management has become a very big part of the both the environmental, the social and the governance composite in the sense that because of recent events, it's very prominent in the public eye and quality of tailings management by and large is also a good indicator of quality, quality of management generally. We've been setting ourselves up for, I think, an environment that is going to demand more transparency and, and more access to information in terms of just where you are in terms of tailings management and these other feedings on which we deposit, not the turnings that be reciting. So in order to make sure that we are trending consistently towards the best standards, we established this tailings review board in 2018, made up amongst other things of some independent authorities in the field and they provide guidance to, to management and the assurance to the board and, and these are some very interesting conversations taking place on exactly what the tolerance levels ought to be and what the standards were to be that we aspire to achieve in terms of managing our tailings properly. We've established an interactive management system, sailings performance management system, that this is a web based system that is regularly updated. And here we track and monitor a whole host of things. Firstly, in terms of status, what's the status of the frantic surface? What's the status of what does the fee board look like? The size of the pond? What are the open items that we are working on to ensure that the condition of the, the turning stem every year is an improvement compared to the previous yet? What we also started doing a few years ago was to rely less on independent service providers, but in terms of assurance and to establish a line of sight, literally deep into our tailing steps with own personnel and oversight, to make sure that we, that we maintain the standards of the required for the safe operation of the styling stair. We bring in on board, that's fantastic kind of technology that's available nowadays for this sort of thing. And there's insight technology, which is basically satellite imagery, but the slightly more sophisticated application shows you if there's been any movement and the tailings dam, is it exactly in terms of shape the, the same condition that it was in when the, when the previous image was taken, and then this is important to, to detect early detection of any kind of moment in the tailing statement, not remind you that a tailings dam isn't really a dam taking stem it's a very interesting and subtle balance between light gravity, water and material which you need to manage very, very carefully in order for it to stay in balance. It's a life thing, briefs it sweats and it's not supposed to move, but it can move. And you need this sort of technology to make sure that you pick up any, any sort of movement, any sort of early indication that an imbalance is developing. So this is a comforting part of technology that we're using in this regard. And then of course, there's the drone surveillance. That'd be also due on a quarterly basis, which, which helps a lot any change in texture or color of your vegetation on top of your dam, for example, might be an indication of a change in the water balance or ferric surface, or a problem with anything like that. So these things are looked at long and hard and on an ongoing basis, right? So moving on to the next slide, this is just the spend environmental value add or spend at a glance. Once again, I want to reflect on the picture, this is the top of a tailing step. So the best way to bind the swell on top of the dam is to put a vegetation into, so the root system binds it and the best way to also make sure that best doesn't come off of it is to keep the wind away from the surface. And therefore you see this combination, this cocktail of plant material that's established on top of the tailing stem, and also about three years earlier it becomes so sustainable then the irrigation's no longer necessary. These are so picture of one of the tailing stamps, top of the tailings dams to the Southwest of, of Johannesburg soccer city and as a farmer. And then I'm just loving the listless Lucerne care. But that's a healthy plant, very established. So just looking at the spend itself 105 million was spent on environmental containment and, and these sorts of measures. Now let's just also add that this is not part of the steps that we take the, which is part of the day-to-day running of the business. The operating costs, the very nature of our businesses by removing dams and by sort of following the, the face of the dam as we removing it, there's rehabilitation taking place. And that's part of operating costs. This is what's categorized clearly categorized, classified in terms of financial reporting, that terminology as environmental spend, you could see that it's double year on yet. And of course that's what the, the performance of the last two years, what it's really enabled us to do is that our focus is a balanced one. It is obviously to deliver into to have sort of economic performance. We, need to pad our dividends. We need to make profit. We need to offer a convincing investment opportunity to the market and acknowledge the, the interest that at the market has a metric or economic interest. But then again, there's a social and environmental value add that is equally important from a sustainability perspective, and when fortunes change, and you're in a position to do a catch-up and to sort of just close the leg between the remainder of the life of your operation and the work that has to be done in terms of closing those sites and rehabilitation that needs to take place. And maybe some of the sites, which in the past, when our reality was different, it was not close to a particular standard. And you can throw the sort of edit. And then we are running the platform legacy sites at the moment where there's a lot of moving parts, a lot of machinery moving around to make sure that you bring those up to standard and we can close them down fully. We moved, as I said earlier into a lower credit, high volume period. And the last thing that you want to do is towards the end of life, and we're talking 10, 15, maybe even longer years from now as the business develops. And as it adapts to its tuition, you don't want to be in a situation then when the revenues are maybe lower or margin as is under pressure to, to then have the obligation to do the sort of catch-up. So it's a lot of catch up now and make sure that these two check each other, that it's all about concurrent rehabilitation, which is a term that we use a lot actors of vegetation. Also double, almost double compared to two last year and the year before that 115 hectares, this is not just environmental in nature, but this is also a social dividend. This is making sure that the people living around those steps that they don't live in a dust cloud, that they don't have the nuisance of, of dust, and also the potential health issues associated with dust. I spoke earlier about the radiation standards. Yeah, I'll just an example. This particular one that's on this picture is no longer classified. It's no longer and the conditions of it's no longer under the conditions of, of a nuclear license, which means that people work on that dam no longer needs to wear protective gear from a radiation perspective. So it doesn't pose a risk in that regard to surrounding communities, but the dust needs to stay on the debt. Because if it gets blown into these communities, then obviously some of that advantage, some of that benefit, the, the airborne stuff, you, you lose that. And that's why this is so terribly important from a social capital perspective and why it's been the key focus area for us in the last decade, looking at the electricity consumption, you probably want to look at the 2019 numbers compared to 2021, because there was the interruption, the less electricity use, particularly in terms of milling during the lockdown last year. So you'll see that the megawatt consumption, our consumption was higher this year than last but not compared to 2020, 2019. So it's also profile that's changing. So ever so slightly with a change in in material that's coming through. And in that regard, that's really where you also make up some of the some of the value per unit in the sense that the process becomes simpler with the Muslims material that doesn't require the decree of mulling, et cetera, that that typically you would do with your Courser high-grade material, that makes up some of the margin loss in terms of hybrid material, potable water consumption. I spoke about that to the rather look at 2019 and 2021 as a direct comparison. And, and we want to reverse that. Obviously we need to search needs to reach the search forms or the other stormwater needs to reach the storm water areas, et cetera. And then we can draw down like use of a more gray area. We still are taking full advantage of the asset, mine drainage. That's being treated out of the central shop by the tunnel authority with whom we have an arrangement. So not only do we get water from them, but there's also the transportation of the by-product, their arisings, which ends up on now sailing stem, and which by virtue of the fact that it ends up there also makes a contribution towards our water balance. But we had done freely want to be competing with society in terms of potable water. The recycled water is cheaper than the potable water. So that's where you have that lovely overlap of value at where your environmental value and your financial bottom line, where these two actually meet up, but good environmental practice also costs less than contributes to margin. And then on total carbon emissions take a good hard look at this line, obviously 20, 20, again, lower power consumption because of lockdown, but compare the two '19 and '21 it's trending in the right direction. And that is the one number that'll change a lot over the next 24 months because a lot of the CapEx that's going to go into this business is directed at clean energy. And some of those will come through in the next 12 months already and come through more prominently in 24 months. So that's a good process. Okay. I'm pretty sure that I'll land on the next slide soon. There we go. This is our social spend for the year on socioeconomic development. This is the S part of our ESG, but that mentioned we are in terms of women in mining HDSA count 72% and in terms of socioeconomic development, quite a bit, it's close to 50 million for the year. And it's sad to remind them that these levels who maybe even increased going forward. And what's really nice about where we are now is with the, the broad-based largely program. That's an extensive program over seven districts or seven areas. It really facilitated the programs that we launched in terms of COVID relief, and it's going to facilitate hopefully also the work that is being done at the moment in terms of the research that you're doing to, to leverage a broad-based livelihood program and expand it into something a little bit more ambitious, or part of the initiative to mobilize the informal economy to put to use the last amount of social grant capital coming into these communities on a monthly basis, and using that as a platform as the, the building blocks for let's call it micro economic development and increased independence. It's important that, that these communities started looking more towards themselves to delivering to essentials, and we developing the material that can assist them that record, which we're quite keen to start rolling out once it's done. And we partnering with university of Pretoria metrical lovely program in terms of governance of that speak about the governance surrounding tailing safety and the systems that you've got in there. But, but these are the let's call it the aspirational standards that we look towards and that we are cognizant of. And we're trying to get closer and closer to those on integrated reporting, but somebody could feed back this year on the quality of our integrated report was rated. Excellent. And then in terms of the rest that level of reporting standards, the sustainable development goals to the United nations, these, these are very closely aligned with what we've been fighting to achieve in terms of our sustainable development, focus over the book sort of forever basically that this team has been involved. And then what's been your Stillwater as a member of local council. These are standards that we are familiarizing ourselves with, and that be trained in close towards those to make sure that we are not an embarrassment to our primary shareholder and that we do conform with these standards under these expectations. And these are some of the sustainability goals coming out of the United nations development goals at the bottom there that resonate with us, there are aligned for the initiatives that that'd be looking at. And I'm just looking at the last one, the partnership for these calls. And you know, we really want to be economic in enabler within this, this broader social partnership of improving quality of life and establishing sustainable communities. And some of the common themes that came out now, especially after the protests of just making sure that whilst increasingly certificate might be moving towards more of an enslaved type society. It's very important that we're inclusive. This is a leader Cook's opinion that I'm referring to here. We've got to be inclusive in the solutions that we find new partnerships new arrangements to not leave anybody out in finding a broader social solution. Also understanding that that we're not government, our released our role will never be that of government. They're not the primary supplier of these primary services, but we can be an enabler. We can provide support in the form of birth, calming capacity, financial capacity, and also the knowledge that we can gather and that we can make available to programs. We can be an important partner in enabling communities to look themselves under this hopelessness and build a better future for all South Africans. And supposedly if you're not concerned by the numbers that came out again this week in terms of unemployment I don't know what is going to concern you because those are devastating, the morbid numbers in the sense of just, you know, what is the burden that it's going to place in society as a whole, and it's time to roll up our sleeves and get involved and, and assist in building alternative economic structure, new ways of doing things. People are not going to find work in the formula economy. We weren't able to accommodate everybody in the formal economy, but the informal economy is dynamic. It's vibrant space sophisticated, and it has numerous potential. Or we could leverage that, provide a B from the inside out and see what we could do without assuming the role of we know what's best for you, but rather, you know, we want to be part of what's best for you through an enabling contribution. The response to COVID is on the website for all to see other than to say that I was genuinely CRISPR with a standard, and also just the, the, the attitude of staff as a whole, and attitude is an important word in our organization or attitude towards everything is, is, is, is a vital part of your, of what you bring to the workplace. And then we saw the right attitude towards COVID protocols, making sure that I keep myself safe. Also, I don't pose a risk to my colleagues by following these rules by following these protocols. And then our numbers were, were low. We unfortunately lost three colleagues to COVID. But I think that'd be created a safe workplace where the protocols that we had and that coming to work that might present a COVID infection risk for our employees. And for that, we have all of our employees to think in just how they bought into this and how they just took the right attitude to the, to what was made available and which they then use to, to overcome this virus. And we've seen a similar attitude when it comes to vaccination and we are fully supportive of explanation. We do believe that through vaccination ultimately COVID will become a bad flu in terms of symptoms and danger. And this is where we need to be as a society. And diotic gold is playing its role in that regard. All right. I did speak a little bit about how our broad-based program, the trench program enabled us to play a role in this regard. And then you see this pretty sure in most corporate presentations but just over 6,000 families include couldn't participate in the per day. Condoms at least had some relief as a consequence of, of what DOD in staff and its partner MCC at managed to roll out from Springs all the way through to, to Colton, like moving onto the next thing. So, this is something that, is going to become increasingly important in our business, in fact, so it's been important, but I think we'll, we'll touch more prominence to, because of just the role that it plays in optimizing the per unit value contribution. So, although we're treating more than 2 million tons of material per month, we dissect every single one of those to make sure that we don't overspend on a single ton and that we don't leave behind any value in any single tent. So it's a big business that's being managed on a per ton basis. You'll see, like we actually report those numbers. What is the cost per ton? What's the revenue per term margin recovery, et cetera, et cetera. This is a beautiful facility that was built. And our fall is called operation because of the high copper content in this this resource the purity of a Blu-ray box delivered to the vendor finery attractive of penalty. We didn't get full recognition of all the goal and this plant is not just taking it to beyond a purity of 60%, which is giving us a much better cold recognition. So we're getting more than 99% recognition at the stage and probably closer to 99.5. And I just love looking at this because remember the, you know, our company is a company that's, that's a made up really of infrastructure that is sort of like, you know, reflecting on my own, growing up here, we're a hand-me-down company. We, took other sort of discord equipment and, and prompt and infrastructure and so forth. And then we, we bought the right stuff and, and set it up in such a way that, that, that gave us these fantastic results and in terms of efficiency and throughput, and just being able to monitor and see what's going on in the business, this is all brand new, and I'm loving it. It's like getting my first pair of own church using unsuit when I was in standard five, I'm loving this. It's such a beautiful picture. And it works really, really well, so very proud of what we've managed to achieve. Yeah. And then we, we spoke about it a little bit in terms of the we have these hot button features now and why we decided to put the Sonya as to listen to me rambling on every six months about doing this and doing that and so forth while, while everybody else is also reporting. I think we're missing an opportunity to just share with the market, some of the exciting stuff that our businesses on about the stuff that we do and the copper illusion circuit was, was one of those. And there's a nice little write-up. We call it the hot button feature, not button was first to sort of be a button on the website, but it's now a, we suppose the brands developed for all of them, this particular feature. And we will be wanting to tell you more and more about the, so what's out for the, or lookup rather for the hot button as they progressive fee are released and, and everything that's prominent on our capital investment schedule for the next few years will for the foreseeable future, or that it's going to feature in one of these hot button features. And we try to have a nice combination of everything, of both operational stuff, engineering stuff. There'll be some of the -- we'll provide updates on, on the research that we're doing on, on the informal economy model that we wanting to help create. So, so all of that will find its way onto our website or the hot button features. He has another one, which is one of the oldest sites where people's halfway mind very acidic, needed lots of lime and needed lots of Sinai. And it stood for many, many years. And that stood as a bit of a reminder, and maybe also an eyesore reminder of a different time when a reality was different, also an eyesore in the sense that this is not how we want to leave a site behind. And this one is not actually finding its way into the production profile, and it's going to be gone in a few months well, just more than a year, but it will make a handsome contribution. And the contribution will not just be in terms of gold and in terms of margin and the per unit contribution towards costs fixed and variable. But it will also be part of Johannesburg that, that had been sterilized for decades because waste that was used for the storage of waste. And it'll now be, be freed up and could be put to a sustainable land, use services, delivering into a purpose and doing it in a way that that makes bit of money for the company and for its shareholders. So we'll be close to the end now, looking ahead, a picture here on, on guidance and especially I think on the, the capital aspect of guidance or most of what you're seeing here in terms of cost and capital as is the product of a number of things. But one of the things obviously is also the fact that we are in a position to spend a bit more now on, on environmental cleanup. And we're also wanting to spend there's a lot of money. That's not being distributed, that we've been carrying over from reporting period to reporting period, we're hovering around R2 billion. It's not going to share all this because it needs to go into capital projects and budget for this year. All the plan is about 600 million of that, excuse me. And that is squarely aimed at optimizing resource policing. But we pull our embedded resilience. In other words, being able to weather the, the, the down cycle, because there will be another down cycle and we need to see it through so that we can take full advantage of the next hype cycle. Just seems as though these cycles are getting shorter and the amplitude is just getting far steeper, but, but be that as it may we need to start spending this money. Now we need to start investing it into the future. And obviously there's a very particular, very specific process that we follow in deciding what gets spent and where and what you will find. There'll be more and more information going into the market this year. We, want to give you more details and a clearer picture of where we're going over the next three years in terms of life of mine. For example, there's going to be a resource update. We want to tell you more about some of the stuff that we're doing on the, the green energy site, the solar power generation, and that's our storage. So we'll have a day for that. Before the end of this calendar year, we'll give a lot of detail in that regard. And we also do want to tell you more about how we go, how are we doing in terms of for waste phase two and the infrastructure, but I think what, what I want to share at least at this point in time is just how we're approaching this because we all living in interesting times a year ago. We were very nervous about expropriation without compensation. And just thinking that, that, that, that, that sort of undermining, that is part of the ideology and how we think about the economy and how we think about preservation of capital. Then it's going to become harder and harder to not just get capital, but also justify spending capital. So I think to go and buy a farm in the crew with your own money, it's another thing to go in and take your shareholders fence. And we'll huge infrastructure in an environment where you cannot guarantee that the integrity of ownership is taken seriously, and that it enjoys the sort of protection that it requires in a constitutional democracy and an emerging economy where capital investment is really the, the one thing that we need more than others, anything, others, or anything else to just lift ourselves up. So, what's the way that we're looking at these capital projects as, as fathers we plan them as ambitiously or as extensively as we can. So, in other words, to give an example, when we talk about quo is called Phase 2B that the plan and that, which we subjecting to bankable studies, that plan extends beyond our 250 million times resource and the rate at which we want to treat it, and we'll be going through the positive. It extends beyond the size-wise, it extends beyond our own needs. And, and the reason why we do that is that we want to make sure that while we plan big, considering our immediate circumstances, we are going to have to be just a little bit more circumspect in terms of execution. So plan big, but execute carefully and execute incrementally that's necessarily important part of agility, of being able to do what you need to do in order to make sure that you can maintain your production rate, that you do not lose any sort of optionality in terms of your resource. And also that you do not close the door on the potential to explain the potential, to become a regional consolidator the potential to not just treat your own resource, but to become that economically viable, in fact, economically robust environmental solution to that entire area. So, that's how we were looking at these projects, and we'll give some more detail on that going forward, but if I can leave this one concept with you today is AF planning big, but implementing carefully implementing with common thing with kit and in such a way that we do not close any doors on ourselves in terms of, of optimization of our position, our footprint, our resource, and also the potential of the business. So the theme items this year in terms of the 600 million capital, obviously at ergo, is going to be green energy, the solar plan, both generation, and also storage. And unfortunately the speed at which the regulators, my understanding, the fact that there's been huge improvement in that regard with a 100 megawatt facial it's been introduced regulate it doesn't quite move at the same speed and, and women disparities get involved. It doesn't move at the same speed. So, so we need to make sure that we can start executing notwithstanding the fact that the regulators are sort of deciding whether it wants to keep pace. But, but there's going to be some interesting stuff happening in the PV space. And we'll share that. So say before the end of the, the Spanish, we have a big chunk of the R600 million, I think about there's an R110 million for this year alone dedicated towards that in preparation and setting ourselves up in that regard in terms of phase in terms of deposition capacity, phase two in particular for waste, but R115 billion to secure land and to do some of the initial work that and I think we want to definitely share with the market at some pace at some stage in them before the end of the calendar year, when construction will start about tailing stem and what it will look like whether it will be the big one or whether it could be slightly smaller hurdle fit in. And how do we make sure that we we're not painting ourselves into a corner that notwithstanding how and where we start that it will be part of the biggest story. And as much as we are given the opportunity circumstance, environment, financial reality, to actually delivering to the big story so that starting this year, R150 million in terms of volume throughput at ergo about 19 million for the development of another site, and that'll be on a hot button feature, we'll update you on that and then enhancement at further announcement at faraway scold. We did the corporate solution they closed a closed circuit milling circuit that also as a big priority, it's going, well, there's another hot button feature that we'll feature this year, but those are the big theme items in terms of our Catholics or the new year. And we quite keen to, to advance those. We'll just make sure, yep. So last year, as I said, political the ex-procreation debate was, was, was a concern that it seems to be sort of lost some of its momentum expropriation without compensation, but there's a new reality. And that is how well are we positioned in terms of social and racing and Archy and the ways the state in that regard, how prepared is it how does that impact design and also how does that impact investment decision? So these are important conversation points that take place on a much broader base. And we'll be thankful that we get to listen to some of the intelligence analysis, not just from our own board, but also because we are being made part of a seven-year Stillwater's discussion in this regard and a big part of our plants. And you'll see that also in the letter to shareholders is increasingly aligned with supplying the Stillwater of basically becoming involved in the clean energy space, venturing mental space. There, there is a part for us to play also in that regard, in terms of tailings and metals that were thrown away many, many years ago, that can now be recovered through recycling. And that can also play in that regard. And that's how this whole thing comes together. If I may conclude with that really in terms of our sustainable development story. So we mind we produce gold out of, out of tailings using recycled water. And increasingly now we'll also be using clean energy. I imagine if we also produce the metals used in the generation of their clean energy, I mean, there's a nice closed loop if ever there was one wonderful of financial financially robust is G that's really where we want to be. I think I've covered everything. Yeah, there we go. So those are the contact details. Thank you very much. I went on and on it, but hopefully this was helpful to just get a peek into our thinking and where we're going and allocation of resources, people, et cetera, et cetera, but, but thank you also to the market for its support in the last two years, really. And hopefully we will, we will not disappoint and we will keep you up to date in terms of the decisions that we take with regards investment of your money and why we think it's a good idea. And we'll also be listening very keenly for your views on, I think they're on the right track. And then hopefully we, we, so, so thank you for dialing in. There's an opportunity for it's not the Trinity for patients. I see there's one from Peter Kronberg and while we wait for the rest, I'll, I'll just jump in and run to you if you can switch on your cameras and take part in answering these. So to what extent can we look at acquiring new businesses and consolidation opportunities? So I think that there are two, two aspects to this. On the one hand, we're a small part of a very large enterprise, and we want to become increasingly valuable within that larger enterprise. And we think that by being that, by making that playing that role within supply new solar water space, also value to be unlocked the fall has gone operation. If that's an example of how value can be unlocked at tailings, which is non-core within [indiscernible] slow water by bringing it onto, under another brand and turning it into something that can be modeled no longer, just a rehabilitation liability. The mere fact that you have a program and that you have a project, doesn't turn it into a, something that you could failure you know, what is for it to be valued. It needs to be prominent enough living your portfolio of assets for the market to attach value to that then. And I think the market has shown us how dynamic that could be a process that could be with the Forrest gold dumps. And I think there are other opportunities like that, which we would want to develop. And obviously then, then it's nice to have capital because he wants you to pay your own way in Africa. And then of course also in terms of just being a service provider, I think that the, the how teams become good at mopping about teams become good at sort of late phase mature bringing things together. And it's, let's call it bringing about optimized closure of certain sites. And then we think that there's a role to be played in that regard as well, but, but that won't be as prominent as assets coming across, but it's nice to be of use. And I think we want to be more off use in terms of external growth. We don't think you come in at the top of the market just for the sake of, of being part of whatever the market thinks is six at this stage. So then two, if opportunities does present itself, if there are projects and opportunities that are undervalued or that smart getting the sort of market attention that it deserves, and by combining it with our brand, you might unlock some of that. And then of course we don't do that, but we're not paying to be chasing something that we're not convinced with add sort of to the value composite that we offer our shareholders. But yes, there is a process and you might be looking at that. A lot of attention though, will go into just, not just optimizing existing operations, but also building it up for all the reasons that I mentioned during the presentation. Yes. So, here we're going to have a presentation later this year where we will be giving full details of exactly what the solar plant looks like. And if -- I mentioned to the speed at which the regulator moves so obviously if you get all the support that you require, including consent that you could feed back into the grid, then you start big. If you don't, then you start a little bit smaller. So we're going to start and depending on where the regulator is at that exact point in time, either be big, or it will be a little bit smaller, but it it's, it's going to be significant. I mean, we're looking at total requirements for the plant at the very least. Yeah, I've got, I don't know if you want to elaborate on that. So we looked at the market in a full presentation on size and cost of the project later on during the year. We're pretty much ready to go. As I said earlier, it's just that the, the regulator doesn't quite meet with the same face, especially the municipalities involved. But w we know where we want to go. It's not a case of just keep them attention and making sure that the implement in a, an extent of away, but you're not going to wait. So, on the CO2 emissions. Yeah. You mean in the final analysis, what's the equivalent of 20 megawatt actual consumption that that is now coming from the sun and no longer from, a Coker plot that's when I was talking about aiming big and planning bank and then implementing sensitively, but in the long run, that's at least what we want to be aiming for. What else, why bother. Okay. The dividend seems low given the level of cash-flow generated, it's just to create a buffer, but I think what we said, yeah. Let me read the question. Maybe not, everybody's seeing it is asking the question, but dividend is low given the level of cash-flow generator. Is this the create a buffer as you moved into lower yields or fund always called phase two or both? Yeah, it's based application of, of funds. I believe we obviously don't want to not pay a dividend in a situation where we can, but this is, this is the first year on a mini in a long period of time where the dividends and earnings aren't almost the same and that wasn't intentional, but that's sort of how it's happened. But I think you will recall our note that what we said in the past is that the investment that's ammonia store water made in our company just over a billion read that that money is project money. So that's going to go into forest please. And then in terms of resource optimization, when you mining a combination of tailing stamps and remit, everyone is almost like a, it's like a new little mind, everyone's different in terms of content, in a different people produce the last way stamps. And they don't give the data. We'll give you the same sort of yield. So what do you want to do in order to make sure that you mind, the whole thing is manage your mix, the mix of your feed, you know, what, it might not be eyes now, and then, and then leave the next generation with, with rubbish. You almost want to have a, almost like a constant head grade what's happened at four waste in particular, is that because five dump is much higher grade than, than some of the remaining dumps. We haven't been able to manage that mix. So the only way that you can achieve the same sort of outcome is to retain some of the financial upside, some of the cash coming out of that. And then the way that we've done it really is to, and this is more sort of a guideline than a rule, but the way that we've done it this week, we had a look at what the project called price assumptions, which I think at the time was 639,000 and tequila. And we said, what I brought up until that number, you know, that, that, that, that really we should pay in terms of dividends. But beyond that, chunk of that, let's call it the windfall as a consequence of the high gold price. That's, the proportion of contribution over the next 18 years. And that's going to, co-fund some of the CapEx, but we are also spending money on rehabilitation. We spending money on cleanup. We are in a position to, to, as I say, bring that a little bit closer, that the leg of rehabilitation and sort of where we are in terms of life of mine, that that leg is shrunk. So like when the money stops, the, the rehabilitation is done and then of course it's also the stuff happening at tech target. So fuel summary or short sentences, right. I don't know. Just going back to the bottom again, Peter. Yeah. So the sort of point you'll have a proper presentation and then the other ones, but those seem to be all the best that seem to be all the questions unless I'm missing anything. Am I missing it at all? That's pretty much all the questions. Riaan anything else from you by way of concluding remarks.
Riaan Davel: No, just, I think you've summarized it well, maybe answering this last question also from, from Arnold [ph]. I think we, we responsibly sitting side around makes us dance sustainability around building the best possible for, for the future to mine, as long as we can look at regional consolidation. And, and when we take it that step by step. So I think that that is the message. And we're fortunate to have cash on the balance sheet to do that because we don't hate or exposed if, if the gold price comes down or our profits are impacted as everyone saw in the second half of the year, it is it's a, it's a or market. So I think we, we, we set up very positively to take the next steps and we are, and we are doing that, so very exciting next steps that, that exactly. But that's it from my side. Thank you.
A - Daniel Pretorius: There is a hand from Nick. Nick. I'm not sure if you will give me permission to unmute him ahead, Nick. You've been un-muted.
Unidentified Analyst: Okay. Can you hear me?
Daniel Pretorius: Yes, we can.
Unidentified Analyst: So sorry, I had my hand raised there. So I think that the better way of asking questions was on that on that key list. Only two things talking about costs on ergo side, your, your, you talked about your unit cost on a per ton basis. So working roughly, they turned out, they went up 4%, but at the same time, 15%, which in a, in a philosophical sort of way that your customer issues were arising in the order of 17%. So I add the one to the other, and I get that sort of number. Now, I know you're talking about like just 15%, but that only kicked in for off the year and your electricity costs only account for 20% of the total. So those cost pressures to me look quite high and maybe some pet them. And then I'll have a further question?
Riaan Davel: Yeah. Well, you're talking about total cost or the cost per 10?
Unidentified Analyst: Cost per 10 ergo on the rest of ton.
Riaan Davel: Yeah. The total costs went up because we increased volume throughput by quite a bit, but the cost per term, I think that that line is there's a lot more, a couple of main fees. So your cost per pillar will be higher because you yield potential more tense produce doesn't produce the same kind of rent, but the cost per tenant is actually quite well managed. So it's not, it's not up by 17%.
Unidentified Analyst: So no. So let me just rephrase that question. It went up by 4%, but it went by 4 cent, despite the tonnage is increasing by 11%. So one would have expected some benefit of that expansion of Telogis on your rants, but some costs that's the point of the source. So what you're saying is that because there was an increase in turns you ought to have had a more of a dilution on your per unit cost?
Riaan Davel: I wish we could give you a breakdown of, you know, of, of, of everyone and exactly what sort of contribution makes. But I suppose, what, what makes that sort of breakdown [indiscernible], we'll give some more color on this, is that, you know, not every site is a is a site where we do reclamation by way of hydraulic. I appreciate that water guns. so some of the sites we actually use trucks, and those fans are quite a bit higher on a per ton basis. Then, then [indiscernible], we've got between at any given point where they, between 15 and 18 sites where there's, where there's actual activity taking place. And, and on one of those sites for, for the better part of the last year, there's only been stockpiling that hasn't come in to the circuit, then it will start coming to now in the new year. So if it was only one site and on that side B we had an 11% increase in throughput, but only a 4% increase in in cost. One would have expected that dilution to be better, but it's not just one site. It's, it's a heck of a more complex than, than that your answers are correct. I see my screen is imitating some of the unregulated responses. So, but your answer was a 100% reminding a number of sites. And some of these sites specifically the smaller ones you going into final cleanup and as also indicated slides in this presentation, the cost of surgery cleanup, and then comes at a cost because you're tracking this material. So as we're cleaning up these sites and getting them into it we obviously moving to bigger slum sites and Hinshaw production costs overall also start decreasing.
Unidentified Analyst: Thank you. It's actually the onset. Can I have another one, another question? So, you know, I'm aware that you have a number of projects on the conveyor belt and, and, and as you said, the regulators, aren't quite, as quick as you say to catch up with you, you would have quite a few things on your plate. So when I look at, when I look at DRD, I don't see necessarily that you have the execution ability to do all those things in a relatively short space of time. Do you think this is a challenge you're going to have to grow the company to match the project profile if they come through reasonably quickly?
Riaan Davel: Yeah. Now that we share your concern and we both scheduled a and the board raised the same issue. So we've got to sort of maintain a balance between senior colleagues starting to feel sorry for themselves because they worked so hard and making sure that we have adequate resources and the first time saying thing and cheek, but no, no, we, we having a workshop series of workshops. Now over the next few months, we will be just looking at drug clarity. You know, our team has been a very stable team now for a long period of time, seven years and you know, certain members of their team came into to put certain things in place. And they'd been in place now for a while. So maybe it's time to sort of move on to the next level and be most strategic and less sort of focused on day to day stuff. And we have, within our senior team, I can think of at the very least not counting Yoko and early-on that we've been called to their team from the outset. I can count at least three or four additional senior members of management of management that can increasingly start becoming more involved strategically and, and have some of, some of their colleagues stepping into some of the, their day-to-day chores. Ultimately what we want to do is not just it's not limited to only the quality of the work that we want done. And I think the performance of our most recent addition the quote, we spoke plant this little copper illusion plant and the effect that it's having that based system. And I think to that, to the quality standard that that our team takes to these projects, but it's not just that you know, there's, there's a very specific approach that we take to, to every site. There's a set of values that accompanies the it everything that we do and, and those, those values you don't implement. And for us, they're, non-negotiable and they're not offensive. The people that we enjoy working with actually to those values intuitively, but they start direct implementation and rolling out of those values. So clearly some of the more senior people who have technical skills and the right sort of experience that they will become a little bit more stretched observation. It's not, it's not inaccurate. It's a good observation and there's something that's getting our attention. Okay. I think we can deal with some questions.
Unidentified Analyst: Thanks very much. Thank you.
Daniel Pretorius: Thanks for your questions. Appreciate it. Okay. Anything else? Oh, it will be done. Yeah. There is one more question. There's a long 
Unidentified Analyst: I see this, I see, thank you. So there's the saying that in 2018, we concluded was a game changer production for is '21. This, this year, there's 57, 43 of production. Do you ever envisage the possibility of ergo producing roughly 67% of production in four ways, 33 of production in terms of guidance for this year? What is the likely split between ergo and fall waste? You can venture a guess. I don't want to -- it is something it's an answer that I would want to give. It's a question that I do want to answer, but I'm looking at the numbers sort of grow the, in my mind. Sure. What that exact number is. I'm sure by looking at the budget, you can, you can sort of have a number, but while you, while you consider that, let me move on to are you good to go? Are you happy to give an answer quickly
Daniel Pretorius: In the next 12 months very similar split to what we've had the previous year do not foresee a massive change happening going forward as soon as far the phase two off always kicks in, obviously that will change substantially or favorably towards focus. Then we can have to wrap this up because I have another meeting that I need to attend or continue to potentially deal with Michelle in the wrong capacity position, right. You're running currently, or it's called phase two, how much can capacity increased? So I think the, the capacity is really determined by one thing, and that is their position, right? So we're mining as quickly as we can deposit. And I think, overburdening any of our physical infrastructure at this stage in that regard, you could tell me if it's roughly accurate. That is so for the next three to four years we do not anticipate any, any issues with the position capacity. And some of the projects would go towards expanding that obviously after that period of time. And then in terms of the capacity of the boss we do have some additional speed capacity. But at this point frigidly, we're not switching engineering infrastructure. We're sort of keeping pace with how quickly we can put tailings residue on our trading steps.
Daniel Pretorius: I'm going to have to call an end to this. I'm late for an interview with the television station. So I want to once again thank you everybody for dialing in and for participating. We really appreciate it. I see we still have 51 about attendees online. So that's really awesome. Thank you for giving us so much of your time. And as I said earlier, hopefully we won't disappoint this year. Thank you so much.